Operator: Welcome to the Acorda Therapeutics 2015 Fourth Quarter and Year End Update. At this time, all participants are in a listen-only mode. There will be a question-and-answer session to follow. Please be advised that this call is being taped at the company’s request. Now, I would like to introduce your host for today’s call, Felicia Vonella, Executive Director of Investor Relations at Acorda. Please go ahead.
Felicia Vonella: Good morning. Before we begin, let me remind you that this presentation includes forward-looking statements. All statements, other than statements of historical facts regarding management’s expectations, beliefs, goals, plans or prospects should be considered forward-looking. These statements are subject to risks and uncertainties that could cause actual results to differ materially. For more information on these and other risks, please refer to our filings with the SEC. With me today are Dr. Ron Cohen, our President and Chief Executive Officer; and Mike Rogers, our Chief Financial Officer. I will now turn over the call to Ron.
Ron Cohen: Thanks, Felicia. Good morning everybody and welcome. We will start with AMPYRA today. AMPYRA results continue to be strong in the fourth quarter as we continue the outstanding performance by our commercial team, which ensure the patients and their healthcare providers are educated about AMPYRA. AMPYRA reported fourth quarter net sales of $122 million, which was an 11% increase over the fourth quarter of 2014. And for the full year 2015, net sales were $437 million, which is up 19% over 2014. AMPYRA has now become a standard of care for MS related walking difficulties. For 2016, we’re guiding to AMPYRA net sales of $475 million to $485 million. So regarding the ANDA litigation, we’ve now settled with four of our ten ANDA filers for AMPYRA most recently with Par Pharmaceuticals earlier this year. There is a Markman hearing scheduled for March 7, and that’ll be followed by a trial scheduled for September. We also expect in March, the PTABs decision and whether or not to institute the four IPRs that were filed by a hedge fund at the end of last year. Two of which were filings on the same two patents that were the subject of their previous IPRs that were not instituted. Moving to our recent announcement of our acquisition of Biotie Therapies, we view this acquisition as a major step in our plan for driving shareholder value, Tozadenant or Toz is adenosine A2a receptor antagonist. A2a receptor antagonist have the potential to be the first new class of drug for Parkinson’s in over 20 years. Toz adds a fourth Phase 3 assets to Acorda’s pipeline for a total of eight clinical stage programs. As successful we expect to file three NDAs by the end of 2018 representing an aggregate of more than $1 billion in U.S. peak sales. Our acquisition of Biotie also brings additional assets, most notably SYN120, which is 5-HT6/5-HT2A antagonist, a vaccine Phase 2 trial for Parkinson’s disease dementia and it is Phase 2 ready for Alzheimer’s dementia. Toz leverages our outstanding neurology commercial organization, we anticipate an incremental expansion of the sales forces if CVT-301 is approved and no further expansion needed to accommodate Toz. We expect the deal to close in the third quarter of 2016. Now we summarize here the key aspects of Tozadenant that make us excited about the opportunity. The Phase 2b trials shows statistical significants and clinically meaningful reductions in OFF time in people with Parkinson’s and this is very important who were already being treated with multiple other Parkinson’s disease therapies. The drugs also showed improvements in secondary endpoints relative placebo and there were no concerning safety signals. The product is currently in Phase 3 and it’s highly complementary to our other Phase 3 product for Parkinson’s CVT-301. So Toz is aimed at improving chronic therapy and reducing overall OFF time CVT-301 is aimed that rapid improvement of OFF periods when they occur. So very nice complementarity and the Phase 3 design or Toz is similar to the Phase 2b. It’s being conducted under a special protocol assessment or SPA. And we believe that this trial together with the Phase 2b data will be – will provide sufficient efficacy data to file the NDA. And we expect the NDA filing by the end of 2018. On the IP side, Toz has patent protection through 2025 with a potential for patent term extension to 2030. Now regarding the safety data, some of the treatment emergent adverse events were generally dose-related. Notably those were Dyskinesia, GI Effects and Insomnia. The overall incidence of serious adverse events was generally low. There were six deaths reported within three of the four Tozadenant groups. There were none in the 120 milligram group or the placebo. The causes included two cases of sepsis, a sudden death associated with Pickwickian syndrome, multi-organ failure due to head trauma, a bowel perforation and a pulmonary embolism. The Drug Safety Monitoring Board or DSMB and also a second panel of experts who reviewed the data, identified no relations between treatment with Toz and serious adverse events or deaths. Now with Toz, we are in a strong position of having four late-stage clinical programs. CVT-301, and Toz for Parkinson’s, PLUMIAZ for seizure clusters, and dalfampridine for post-stroke walking deficits. All of these targets substantial unmet clinical needs as illustrated on this slide. We expect important clinical milestones in 2016 for three of these late-stage programs, including completion of pivotal trials for CVT-301 in Parkinson’s and that’s in Parkinson’s, and for PLUMIAZ in seizure clusters. If successful, we plan to file NDAs for both in 2017. We project that these two therapies alone could generate combined peak sales of over $700 million. We also expect to perform an interim analysis on our Phase 3 trial of dalfampridine for post-stroke walking deficits, as well as to have results from our development efforts on a once-daily formulation of dalfampridine. We expect to update you on the once-daily formulation by the end of this quarter. So here’s a snapshot of what the pipeline will look like assuming successful closure of the Biotie deal. Post transaction, we’ll have a robust, well balanced clinical pipeline of eight clinical stage products, four in Phase 3, two in Phase 2, and two in Phase 1. I’ll now turn the call over to Mike, who can review the financials with us.
Mike Rogers: Thanks, Ron, and morning, everyone. I want to take a couple of minutes to walk you through some of the financial highlights of the quarter and full year 2015. AMPYRA net revenue for the fourth quarter of 2015 was $122 million and 11% increase over the $109.9 million, we recorded for the same quarter in 2014. For the full year 2015, AMPYRA revenue grew 19% to $436.9 million from $366.2 million for the full year 2014. Overall revenue from Zanaflex for the full year was $35.1 million, including our own sales, as well as product sales to Actavis and royalties received on Actavis sales of generic tizanidine. Net revenue for Zanaflex for the full year ended December 31, 2015, includes a onetime adjustment of $22.2 million, representing the cumulative impact of the company’s converging from the sell-through to the sell-in method of revenue recognition. The FAMPYRA royalty revenue from sales outside of the United States was $10.5 million for the full year 2015. Moving over to the expense side, total operating expenses for the quarter ended December 31, were $127 million, including $8.7 million in share-based compensation expense. This compares to $116.7 million for the same quarter in 2014, which included $8.8 million in share-based compensation expense. Full year operating expenses for 2015 were $458.7 million including $33.5 million in share-based comp, and this compares to $365.1 million for the full year 2014, which includes $29.4 million in share-based compensation. The increase in operating expense this year over last year is primarily related to increased R&D costs to support our ongoing clinical development as well as the addition of cost associated with our facility and operations in Massachusetts acquired in the Civitas transaction in the fourth quarter of last year. Briefly on the tax line, for the full year 2015, our effective tax rate was 43% or an $8.3 million tax provision. However, cash taxes for the full year 2015 were $4.7 million. And there are a number of factors that can cause significant differences between the effective tax rate shown in our financials and our actual cash tax position. As of year-end we had available federal NOL carryforwards of approximately $194 million. For this reason we do not currently pay substantial U.S. federal income taxes and we adjust for the non-cash taxes in our non-GAAP presentation. Finally, our cash position remains strong. At year-end we had $353 million in cash, cash equivalents and investments. Subsequent to year-end, we completed a $75 million equity offering. We also signed a commitment letter with JPMorgan on an asset-based credit facility for up to $60 million, which we expect to close by the end of March. In addition, at the time of the acquisition announcement, Biotie had approximately $80 million in cash on their balance sheet. Following the closing of the Biotie transaction, we expect our existing cash combined with the net proceeds from the private placement of common stock, the cash balance of Biotie, any cash flows from operations, and the availability under our asset-based credit facility will be sufficient to fund our ongoing operations. So, moving to financial guidance, we provided our guidance for 2016 earlier this year at the JPMorgan conference. And please note that this guidance does not include potential expenses related to the acquisition of Biotie Therapies. The company expects AMPYRA 2016 full year net revenue of $474 million to $485 million. R&D expenses for the full year 2016 are expected to be $165 million to $175 million, excluding share-based compensation. And SG&A expenses for the full year of 2016 are expected to be at $195 million to $205 million, excluding share-based compensation. Let me now pass the call back over to Ron.
Ron Cohen: Thanks, Mike. 2016 will be rich in clinical milestones extending into 2017 and we’ve listed the key milestones here. We look forward to updating you as we execute on these. And in closing, our key priorities for 2016 are, first, advancing our pipeline. We see enormous potential value there, and we are focused on it as a top priority. We’ll also continue to focus intensively on growing AMPYRA and bringing it to appropriate patients who can benefit from it, as well as vigorously defending our intellectual property. And we’re going to work to close the Biotie deal as soon as feasible. We are still active on the business development front. We believe we can continue to build value by identifying assets that leverage Acorda’s competencies in the CNS space. I’ll now pass the call over to the operator, and we will take your questions and answers – well, questions for answers.
Operator: Thank you. [Operator Instructions] And our first question comes from Michael Yee of RBC Capital Markets. Your line is now open.
Michael Yee: Hey, good morning, Ron. I had two questions.
Ron Cohen: Hi, Mike, it’s kind of hard to hear you, hold on.
Michael Yee: Yes, can you hear me, okay?
Ron Cohen: Yes. Yes, that’s better.
Michael Yee: Yes, great. So, on the Biotie deal quick, could you give a little bit of context as to, I guess, the timing and why now, strategically how you’re thinking about this because your Civitas data doesn’t come till the end of the year. So I just want to understand why now given the overall market conditions and everything else going on. Why now and what do you add to this deal by doing it now as opposed to waiting? And the second question was on 427, which you maybe hit on a little bit that there’s data coming. Can you describe exactly what you’re looking at here and what you’re going to report out and what would drive decision to put a Phase 2? It says update this quarter, but maybe just describe that a little bit. Thanks.
Ron Cohen: Sure. So why now? Well, I guess that’s always a challenging question. The reality is, at least in our experience, you never can predict when the right deal is going to come along. So I don’t think of it in terms of why now, because you can look for a year or two years and not find the right deal, and in fact that’s been the case for us. We sift through dozens and dozens of opportunities, many of them we take deep dives into in the course of the year. So when something pops up that we think is a great fit, can really synergize with the other pieces of the company and really potentially take shareholder value to another level down the road, that’s the time to do the deal, because if you don’t do the deal when you find it, you don’t know when you’re going to find it again. As is probably obvious, we were working on this deal before the recent market ructions, right? And it was just a matter of coincidence that we wound up closing it as things were getting more swirly in the market. But the reality is, I think if you look at the markets to determine when you do deals, you’re going to lose time and time again. You have to do deals based on the logic of the deal, on the availability of the deal and on your conviction that over time, because the markets come and go, they go up, they go down, but that over time you’re going to have a major value proposition and that is what our belief is about Biotie, and that’s why we did the deal.
Michael Yee: Well, I guess, was it competitive? Or can you add something to it between now and the data that makes sense that why you should do it now?
Ron Cohen: Without getting into the details about competitive or not competitive, it’s – I don’t think it’s a question. First of all, we can add to it because we bring another set of tremendous development expertise eyes to this and infrastructure that Biotie did not have. And maybe more than anything, one of the best commercial organizations I think in all of specialty in our industry. That adds a lot of value to preparing to make it as big a product and is important product as it can be. So, I mean, that’s really – the other point is, again, it’s not a question of what do we add to it now in my mind. It’s a question of, we’re looking to add value to the company. When we find something that does that, we jump on it, because if you wait, you wait a month or three months or six months, by the time you come back, likely as not, it won’t be there anymore. So that’s really the logic. In terms of 427, we’re just starting out with that program. It’s potentially quite exciting, because we’re looking at getting – one hopes with our ARCUS inhale technology, a much faster absorption and PK curve then you can get through any means other than injection for relief of acute migraine pain. We are doing a single dose PK study right now. We’ve done a single dose PK study, we’re analyzing the data. We expect by the end of the quarter to be able to say something about that analysis. Now again, we won’t be saying a lot. I think on balance what we’re looking for is, do we see enough that’s encouraging that we’re going to continue to the next phase.
Michael Yee: Okay. Thank you.
Operator: Thank you. And our next question comes from Mark Schoenebaum of Evercore ISI. Your line is now open.
Mike DiFiore: Hi guys, thanks for taking my call and for the good quarter. Just a couple of questions, number one – I’m sorry, this is Mike DiFiore in for Mark Schoenebaum. I apologize for that. But, just a couple of questions, can you clarify how much the Tozadenant Phase 3 trial will cost, and if this will be sufficient for EU approval? And the second is, could you comment on – I know you said guidance for 2016 doesn’t reflect the anticipated expenses for the Biotie deal and when we could expect any updates or more color on that for the remainder of the year?
Ron Cohen: Okay, Mike. So I’ll address the Tozadenant for EU approval, and then I’m going to turn the financial question over to Mike. So, we’re still assessing the EU requirements on Toz and what will be needed for that. What we know is that we have an SPA, and our strong belief is that this Phase 3 under that SPA will be sufficient together with the existing Phase 2b data to file the NDA in the U.S. We have more to do before we can comment on the EU. But I will tell you that, we are very interested in worldwide activity with Toz in addition to the U.S.
Mike Rogers: Mike, on the question about the costs for Tozadenant or Biotie’s operation, I’d say that without being specific, we believe it’s roughly in line with Biotie’s public disclosure that they have sufficient cash to complete the Phase 3 program and invest in their other pipeline programs. As far as an update on guidance, that is likely to be post the closing of the transaction, because we don’t know exactly when the transaction is going to close, the tender offer. But once we close the transaction then certainly we would update the guidance.
Mike DiFiore: Okay, great. Thank you.
Mike Rogers: Sure.
Operator: Thank you. And our next question comes from Cory Kasimov of JPMorgan. Your line is now open.
Cory Kasimov: Hey, good morning, guys, thanks for taking the question. Two of them for you. So, I guess, first of all with regard to the AMPYRA Markman hearings next month, can you just help us shape expectations as far as the news flow we should anticipate out of these events? I guess, how much incremental information should we expect in March relative to the pending trial in September? And then I’ve one other question. Thanks.
Ron Cohen: Yes, Cory, I’m sorry, we are not able to comment at all on things have to the case other than to tell you what’s going to happen. Obviously, there’s going to be a Markman hearing, which is essentially claims construction and that’s – people are going to sort of figure out what they want to from that hearing. We also have the institution decisions by the PTAB on the IPRs, on four IPRs. But beyond that, we’re really limited in anything we can say publicly because as I know you appreciate, we’re in litigation and we want to make sure that we keep every advantage possible.
Cory Kasimov: Okay, completely understood. And then regarding the pending QD dalfampridine update, how many different formulations would you ideally like to take forward or is it really trying to focus on one?
Ron Cohen: So ideally we would like one that works really well. What we are doing is we are doing belt and suspenders because we don’t know which one if any is going to be – have the ideal characteristics. So we took three of the formulations that we had developed with three different collaborators into – they look good enough in the in vitro testing to take into single dose PK. And what we’ve said is that by the end of the quarter, we will have an update on the single dose PK for those three formulations. And what we will be able to tell at that point is whether one or more of them is adequate to then go into more or less final stage of testing, which would be the multi dose, stable-dose testing phase. But of course, it’s absolutely critical is to get the right PK curve and right food fasting effect in the single dose studies. So that’s what we’ll be able to report by the end of the quarter.
Cory Kasimov: Okay. Thanks a lot, Ron.
Ron Cohen: I should remind everyone that all of the formulations have already passed muster on the alcohol dumping, which is the issue we had with the previous formulation. So, we are confident at this point that none of them will have an alcohol problem.
Operator: Thank you. And your next question comes from Tom Shrader of Stifel. Your line is now open.
Tom Shrader: Good morning. A little bit of a change of language, I thought, in your prepared remarks. Ron. Is the dalfampridine look, is that back to an interim look, or do you still expect to really unblind that trial and start new trials? And then, have thoughts changed, or is it just the same?
Ron Cohen: Yes, Tom. So, I guess, it’s important to separate it out here. So, what we have said all along is that the plan from the beginning was that we design this Phase 3 to be an adaptive design with a built in interim analysis. So, that is the original plan and that’s the plan that we’ve taken forward. What we’ve said in more recent months is that we could depending on a number of factors importantly including the availability of QD, that we could make a decision different from the original plan, which would be to unblind the study, and there are various reasons why that could make better sense. So, that’s all still on the table, but when we put in our formal remarks, we rather than get into that complexity, we just stick with the – what we’ve said all along, which is the original plan for that study. But that’s still very much on the table, and it’s still going to depend on where we are at the time of the interim analysis.
Tom Shrader: Okay. I mean, Can we read – so, will you continue with patients in either way so you would get more safety data, longer safety data with these new patients?
Ron Cohen: Yes, well, no, the plan would be either way that if you have those patients on drugs, you take advantage of it by keeping them on drug. And of course there’s also an ethical obligation that if people have volunteered for studies, and they want to stay on drug that you supply that for them.
Tom Shrader: Okay. And then, on 427 what do you need to see to convince yourself that it’s better than nasal triptans, and what level of – when do you expect to see that? Would you learn that in Phase 1?
Ron Cohen: We’ll get – we’ll certainly get good indications from the PK. If what we see is identical to nasal formulations, that’s not as encouraging as we see something faster and better.
Tom Shrader: So really the key is better than nasal? Or faster than nasal?
Mike Rogers: I want to say, it’s not a black and white here, it’s a question of relative, because there are still potential advantages to having a rapidly, easily inhaled drug device combination versus the problems that people have with the nasal preparation. So there are actually issues with the nasal. For example, they tend to drip in the back of the throat and have horrible bitter taste. For people who already have a lot of nausea and vomiting, it’s not very well accepted. So even if it were identical on a commercial basis, we’d be analyzing that seeing whether it still made sense as a product because there still could be advantages in the marketplace for that.
Tom Shrader: Okay. And one quick financial question. Post closing of Biotie, should we expect cash of around $200 million? Is that a fair question?
Ron Cohen: Mike.
Mike Rogers: Right. Well, yes, obviously it’s going to depend on when the closing is of the transaction, but the math is pretty simple. We have $353 million, add $75 million. We have access to $60 million. Biotie had $80 million. And when you add it up and then subtract the purchase price, you can come up with a pretty good number. So time is relevant because they are – right now, they’re obviously a development stage company and they’re spending money. So when it’s finally completed, will be kind of the determinant. So we can’t go much beyond that. If we had a date certain, we could probably give you more certainty, but we’ll see how the tender offer plays out.
Tom Shrader: Perfect. Okay, thanks a lot for all the answers.
Mike Rogers: Okay, sure.
Operator: Thank you. And our next question comes from Phil Nadeau of Cowen and Company. Your line is now open.
Phil Nadeau: Good morning, thanks for taking my questions. First on AMPYRA guidance, if I simply annualize the Q4 AMPYRA number, you get above the top end of the guidance. Are you assuming a big disruption in Q1 like we’ve seen in prior years? Or is there some other factor that we should consider as we model 2016?
Ron Cohen: No other factors, Phil. As usual we expect the traditional drop-off in the first quarter. So that’s baked into our projection. The other thing about our projection is – it’s important to also understand that on the 11% price increase, we keep about 60% of that after DNA and so on. Let’s say that’s really 6% – 6.5% or something like that. So, you have to bake that in. When you do that, you see that our range calls for low to mid actual organic TRX growth, low to mid single-digits.
Phil Nadeau: Got it, okay. Second question on forward guidance, I appreciate that you’re not in a position to give guidance post the Biotie close today. Based on kind of the numbers that you suggested for the Phase 3 cost, it does seem like R&D would have to go up pretty significantly in 2017 and 2018. Is that fair? Or am I being overly aggressive?
Mike Rogers: No. I think it’s fair to say in 2017 that R&D is because of the Biotie transaction will be incrementally higher. I don’t know if that answers your question. We’re not being more specific than that on certainly for future guidance.
Ron Cohen: Yes, Not to put too fine a point on it, but we’re adding a significant Phase 3 program plus a Phase 2 program. So, yes, expenses will go up commensurately. And just this – and by way of reminder, Biotie comes with its own balance sheet that they have publicly indicated is sufficient to complete the Phase 3 program and continue to invest in the other programs.
Phil Nadeau: Great. My last question on the recruitment into the PLUMIAZ and CVT-301 Phase 3 trials. Any specific update on how that recruitment is going? It sounds like you’ve reiterated the time lines, but are you ahead of schedule or on schedule?
Ron Cohen: As you know Phil, I’m sure you know, we never comment on recruitment on an interim basis. We just give our targets and update them as needed or not. So, as you correctly indicated, we kept our targets.
Phil Nadeau: Okay, fair enough. Thanks for taking my questions.
Ron Cohen: Thanks, Phil.
Operator: Thank you. And our next question comes from Bill Tanner of Guggenheim Securities. Your line is now open.
Bill Tanner: Thanks for taking the question. Ron, had one question or a line of questioning I guess on the PD activity. You’re obviously, you guys are building out a pretty robust PD franchise, but if I look at TOZ in your slide deck, 2025 is when exclusivity ends, patent restoration possible. But let’s say 2025, so relatively modest horizon I guess after the drug is actually launched. I don’t know if you could remind us on CVT-301. I know in your SEC filings there is a comment about patents going out to 2032 I think the latest. What’s a reasonable timeline? Point being, are there other assets that you see out there on the PD front that would be complementary to how your building out the PD franchise, either thinking about it from different aspects of the disease spectrum, maybe secondly trying to extend the average market exclusivity of the franchise? Or would there be opportunities for you to acquire assets to let you forward integrate into that market?
Ron Cohen: Okay, thanks Bill. A couple of points. First of all on the TOZ exclusivity timeline, the current composition to matter patent goes out to 2025. We believe that we are likely to get the five years – full five years of patent term extension which would take it to 2030. Obviously you can never guarantee, but there are formulas, there is historical precedent and based on available information, we have a reasonably high degree of confidence that we will qualify for the full five years. So that’s the first point to factor in. With regard to CVT-301, yes, the patents I think we said go out to the early 2030s. But you said 2032, but I would have to go back and double check. I think that is right. What’s also important to realize with that is – there is some built-in significant hurdles for others to enter the market over and above the patents. The whole drug device combination and in particular the nature of the ARCUS technology is such that it requires enormous investment not only of money but of time and experience and very specific manufacturing plant configurations and equipment to get it right. We think those hurdles are enormous and highly likely to give us exclusivity beyond and maybe well beyond anything that you could see in a patent. So, we have a lot of confidence in that one. To your third part of your question, yes, we do see other products that could help us consolidate a growing position as – what we like to consider a powerhouse in the Parkinson’s space. We’re continuing to evaluate those.
Bill Tanner: And Mike, those then include things that are either in market or near-term market? And if you could speak specifically to that, it seems like that might make some more sense versus…
Mike Rogers: Yes. We have said strategically that in terms of business development activity, our highest priority is actually to see if we can find an in-market product that we can put in the bag for our sales force. They are terrific, right now they have one product. They easily have capacity for more. While we’re waiting for the pipeline to hopefully successfully declare itself. So we’re looking for that. Those are harder to come by, just full stop, but we are continuing to look for those opportunities. And we’re continuing to look for Civitas or Biotie like opportunities, late stage products where we can still add a lot of value and hopefully get them for a reasonable or even unreasonably low price. And then, I hasten to add that even though we are now consolidating a really interesting position in Parkinson’s, we remain a neurology company. So we’re not only interested in Parkinson’s. Obviously we have a dominant franchise in improving walking in MS. We’re very interested in other areas of neurology as well, so that our scope is wide enough that we can entertain a lot of opportunities out there.
Bill Tanner: Great. Okay, thanks.
Ron Cohen: Thank you.
Operator: Thank you. And our next question comes from Chris Raymond of Raymond James. Your line is now open.
Laura Chico: Good morning. This is Laura Chico in for Chris Raymond today. Thanks for taking my question. I wonder if we could circle back to PLUMIAZ. I noticed the dose proportionality studies now listed and recruiting on clin trials. Just wondering if you could talk a little bit about the communication strategy? The timing for the NDA filing looks to be on track for 1Q 2017. I know you don’t want to elaborate on recruitment or anything like that, but what should we be thinking about in terms of data release for the top-line data? Thanks.
Ron Cohen: You know what? I don’t want to tell you the wrong thing. I don’t know, and I just don’t have in my head a timeline or specifics on that. So we’re just going to have to – I will have to defer the question. We are on track for our Q1 2017 NDA filing. And historically when we have data analyzed and ready from the trial we release the top-line data. So, that’s the best I can tell you right now.
Laura Chico: Thanks very much.
Ron Cohen: Thank you.
Operator: Thank you. And I’m showing no further questions at this time. I’d like to turn the call back to management for closing remarks.
Ron Cohen: Well, thanks very much everyone for joining us. And we look forward to updating you next quarter.